Operator: Good day and welcome to the Greenhill & Company Incorporated Third Quarter Earnings Conference Call and Webcast. All participants will be in a listen-only mode. (Operator Instructions) After today’s presentation there will be an opportunity to ask questions (Operator Instructions). Please note, this event is being recorded. I would now like to turn the conference over to Mr. Chris Grubb, Chief Financial Officer. Mr. Grubb, the floor is yours, sir.
Chris Grubb: Thank you. Good afternoon and thank you all for joining us today for Greenhill’s third quarter 2012 financial results conference call. I am Chris Grubb, Greenhill's Chief Financial Officer, and joining me on the call today is Scott Bok, our Chief Executive Officer. Today's call may include forward-looking statements. These statements are based on our current expectations regarding future events that by their nature are outside of the firm’s control and are subject to known and unknown risks, uncertainties and assumptions. The firm’s actual results and financial condition may differ possibly materially from what is indicated in these forward-looking statements. For a discussion of some of the risks and factors that could affect the firm’s future results, please see our filings with the Securities and Exchange Commission, including our Annual Report on Form 10-K, quarterly reports on Form 10-Q and current reports on Form 8-K. Neither we nor any other person assumes responsibility for the accuracy or completeness of any of these forward-looking statements. You should not rely upon forward-looking statements as predictions of future events. We are under no duty and we do not undertake any obligation to update or review any of these forward-looking statements after the date on which they are made, whether as a result of new information, future developments or otherwise. I would now like to turn the call over to Scott Bok.
Scott Bok: Thank you, Chris. Looking first at global transaction activity, the third quarter continued the year-to-date trend with further year-over-year declines in both announced and completed transaction activity globally. Against this backdrop, we are pleased with our financial results for the third quarter and very encouraged by the number and size of transactions we announced as a firm over the last few months including another significant one announced earlier today. In the third quarter, we again displayed our ability to generate significant revenue from sources other than traditional M&A completion fees; with announcement fees, financing advisory, special committee assignments, fund placement assignments and a record level of retainer fees all contributing meaningfully. With our current backlog of announced transactions in the level of earlier stage activity we currently see in our pipeline, we continue to feel very good about how our business is performing, both in absolute terms and relative to our competitors. Let me start with the details for the third quarter and then provide some more color on trends in the business. Our advisory revenue for the quarter was down approximately 12% compared to the third quarter of 2011, inline with our year-to-date results which were also down 12% compared to 2011. Our total revenue was down only 3% on a year-to-date basis benefiting from better performance relative to 2011 in terms of the revenue impact of our remaining principal investments. For the third quarter, our pre-tax profit margin was 22% and we had earnings per share of $0.28, while on a year-to-date basis, we also achieved a pre-tax profit margin of 22% the same as last year and achieved earnings per share of $0.88 which is down slightly from $0.92 last year. You will recall that we have consistently talked about having four main objectives for our firm. One, to increase our market share of the global pool of advisory fees. Two, to consistently achieve the highest profit margin among our closest peers. Three, to maintain a strong dividend policy. And four, to maintain a flat or even a declining share count. I will focus on the first of those and then turn it back to Chris for the others. In terms of increasing our market share, our year-to-date 12% decline in advisory revenue far outpace the market statistics for global M&A activity generally. Globally, the volume of completed M&A transactions for the first three quarters of the year was down 26% versus the prior year. As a [medium], aggregate advisory revenue for our nine large global bank competitors was similarly down 25%. The few large banks have reported third quarter results are now showing slightly small year-to-date decline, so we still look on-track for another year of out-performance in advisory revenue versus our larger competitors. You will recall that this trend of our growing advisory revenue faster than the nine large banks which are our primary competition has been in place for sometime. Coming in to 2012, we had grown our advisory revenue 39% over the preceding three years while the aggregate advisory revenue of the big bank group actually fell 17%. As we think about the key drivers of our strong relative performance compared to the nine large global investment banks, we believe our client focus and conflict-free advisory model continues to differentiate us. The inherent advantages of our pure advisory strategy enable us to attract both new clients and talented bankers away from our large competitors. Building on this advantage, we continue to focus on achieving a truly global advisory business that is diversified by geography, by industry sector and by type of advice. In terms of geographic diversity, North America and specifically the U.S. M&A business have been the strongest performer by far this year. We’ve seen some improvement in our revenue from European clients despite the continuing economic and market challenges there, but as we have said before, that improvement is off a very low base from the last few years. Australia is down meaningfully consistent with weak domestic M&A market trends locally, following a very strong couple of years in that market. By industry, we are showing good breadth. As listed in our press release, we completed nine transactions in the third quarter across a range of industries and this industry breadth combined with what we showed in the first two quarters also reflects the range of industries that are active in our pipeline of ongoing advisory assignments. Specifically, industrial, healthcare and energy are all quite active and technology is making a greater contribution for us this year than historically. In contrast, financial services continues to look relatively weak this year. Lastly, in terms of assignment type, as noted above, M&A in the U.S. is making a strong contribution with revenue from higher probability sell-side roles outweighing buy-sides by a significant margin. The contribution from financing, advisory and restructuring roles was about meaningfully, particularly in Europe. And the capital advisory or fund placement business is showing some encouraging signs relative to what had been very difficult market conditions with its revenue this year looking even more fourth quarter weighted than usual. The foregoing comments relate to our performance relative to the market and relative to our competitors, so let me add a few comments on current market activity and our performance in absolute terms as well. On the last call, I signaled what I believed was the turning point in our level of activity and since that call our transaction announcements have played out essentially as we expected then. Meanwhile, the dirt of transaction announcements in the market demonstrates that our increased activity as a result of continuing the market share gains rather than a broad improvement in the macro environment. Having now seen those announcements come to fruition, our outlook for full year advisory revenue is essentially unchanged from our comments of three months ago. We noted then that there was a range of possible outcomes depending primarily on the timing of the transaction completions and I am sure everyone recognizes that the timing of such closing is inevitably both unpredictable and outside our control. But subject to those caveats our most likely scenario remains that we should achieve full year advisory revenue very similar to last year. One thing we can say for certain is that our revenue pipeline from announced and pending transactions for next year is already better than it was even on January 1st when we entered this year. On top of the announced transactions, the fact that we achieved a record level of retainer fees in the third quarter is evidence that there remains a lot of work-in-progress, which bodes well for our ability to build up that revenue pipeline further as we work toward year-end. And any slippage in terms of the timing of completions currently expected for this year will likely only mean that the announced backlog entering next year will be even better. In sum, we continue to feel very good about developments in our business. It is more clear than ever that clients have increasing concerns with a conflicting interest that are inherent in the universal bank model and thus are turning to firms like ours for independent advice on a variety of matters. It’s the only major firm that is entirely focused on the client advisory business that have a strong presence in each of the largest markets for transaction activity that has deep experience in almost every industry sector and that now has nearly 17 years of building a brand, we are well positioned to benefit from that continuing trend. Now I’ll turn it back to Chris.
Chris Grubb: Thank you, Scott. I am going to cover four major topics today, compensation costs, non-compensation costs, dividends and the share repurchases and finally I’ll provide an update on the continuing liquidation of our remaining principal investments. So let me start with compensation. As we have commented previously, our goal is to achieve a compensation ratio that is lowest among our close peers and consistent with our early year’s as a public company, driven by revenue productivity per employee that is the best among our peers. Given the continued challenging transaction environment, our productivity per employee has remained under pressure and as a result in the third quarter and on a year-to-date basis, we have 53% ratio of compensation to revenue which is above our targeted level. While year-to-date earnings announcements suggest our ratio will be by far the lowest GAAP compensation ratio of our closest peers, we are also quite focused on the absolute level. Our objective is to drive this ratio lower overtime as the overall transaction environment and our resulting revenue productivity improves towards historical levels. To provide update on some statistics, we have previously discussed on this calls. Following the recent recruiting, we have announced, we expect our headcount will be up around 5% by year-end versus prior year and despite that growth we still expect our fixed compensation costs for the full year to be very similar to last year’s level of around the $130 million. That should allow us to compensate our people comparably while also achieving a good outcome for shareholders. Earnings to non-compensation costs. Our third quarter non-comp costs were $15.5 million, a significant decrease from the first quarter and approximately flat with the second quarter of 2012. Year-to-date, our costs are unchanged from last year. There are obviously some differences each quarter, but consistent with our comments on the previous quarterly recalls, we now expect the full year non-comp expense for 2012 to be at meaningfully if at all over 2011 levels. On the topic of dividends and share repurchases, our dividend this quarter is $0.45 per share, consistent with the last few years. During the quarter, we also repurchased 508,000 shares of our common stock at an average cost of $39.32 per share. So a total cost of $20 million. During the first three quarters of this year, we’ve repurchased over one million shares for a total cost of just over $40 million. So while we paid a significant dividend, that dividend actually represents only about half of the cash we have returned to shareholders this year. It's important to know in connection with our share repurchase activities that we continue to maintain the share count that is effectively flat with our 2004 IPO share count, which compares very favorably to both our large and small competitors. After our dividend and share repurchases, we again ended this quarter in a net cash position with cash of $38.1 million and debt of $35.4 million. Our Board of Directors has authorized the repurchase of up to a $100 million of our common stock through the end of 2012, of which just under $60 million remains available. We plan to continue our open market repurchases in the fourth quarter, with the amount of such repurchases dependent on our earnings as well as on the results of the continuing liquidation of our investment portfolio. Finally, let me touch on our remaining principal investments. Our principal investments generated a third quarter loss of $10 million, driven by a mark-to-market loss from a decline in Iridium share price during the quarter, bringing our year-to-date gain on the principal investment portfolio down to $1.6 million. On previous calls, we explained and entered in to a 10b5-1 program for the disposition of our Iridium shares over a period of approximately two years or longer. The program continues to be executed exactly as planned. During the third quarter, we sold one million shares at an average price of $8.24 per share for total proceeds in excess of $8.2 million. As we’ve stated before, it is our intention that the net proceeds from these sales will be returned to shareholders in the form of dividends and or additional share repurchases. We ended the third quarter with investments valued at $92.5 million, which includes both our limited partner investments and our previously sponsored funds of $49 million and our remaining Iridium stake valued at approximately $43.5 million. Now let me turn it back to Scott.
Scott Bok - CEO: I would like to close by talking about some personnel developments, particularly two focused on the healthcare sector which has been a very important one for us. We recently announced where we had hired Jeffrey Wasserstein who had held a number of senior business development and commercial roles with pharmaceutical companies as the Managing Director to be based in New York. This morning we announced the addition of Rupert Hill, who was previously head of Healthcare for both Europe and Asia-Pacific region at Bank of America, Merrily Lynch, he will be based in London. Jeffrey and Rupert join our already strong global healthcare team and bring with them an extensive list of client relationships around the world. During the third quarter we also announced the hiring of two senior advisors in Germany. They will focus on expanding the firm’s client relationships in Germany, working with our teams based in Frankfurt and London. We are continuing to see new and interesting recruiting opportunities, driven by the many challenges facing our large bank competitors. We plan to continue opportunistically hiring talented bankers that we believe can contribute to our long-term growth, while remaining highly selective on each hire and staying conservative in terms of overall headcount growth. And with that, we’re happy to take any questions.
Operator: (Operator Instructions) The first question we have comes from Howard Chen of Credit Suisse. Please go ahead.
Howard Chen - Credit Suisse: Scott, just as we build up to year-end, many in the investment community seems focused on the policy risk outstanding most notably the US election and the fiscal cliff. Just curious what you are hearing from corporate boards regarding you know those policy risks and how that might be affecting strategic decision making?
Scott Bok: Personally, Howard we are still not seeing that is a huge factor. And I think of a pretty consistent in saying at a various conferences. I think Europe has been a big over hang on market activity. But I don't think people are as focused at least in terms of M&A strategic M&A opportunities on the fiscal cliff. And certainly as you are seeing with our string of announcements, our business frankly seems to be accelerating right up into the eve of this fiscal cliff. So far, so good on that, although I frankly hope they would find a way to resolve that. Add that on a personal level.
Howard Chen - Credit Suisse: And you mentioned in your prepared remarks a record level of retainers this quarter, just hoping maybe you could provide some more color, how much of overall revenue is that represented will be helpful?
Scott Bok: I don't want to get quite as specific about it just because - frankly I think it’s so much competitive information in the way we do certain things, but it was positive about it first of all it is more than we’ve ever had, and secondly it tends to be fairly sticky quarter-to-quarter. So it sounds like sort of it’s usually volatile. And certainly its really quite granular made up of lots and lots of small fees, some of which are one-time and some of which are recurring, but we are certainly pleased that, we seem to be getting more and more kind of strategic advisory relationships when that becomes part of the compensation.
Howard Chen - Credit Suisse: Okay, understood. And finally from me, if we look at the transactions that have been recently announced, they seem bend towards sell side mandates. Does that suggest anything to you on either the state of the market or the state of the Greenhill franchisee, is there any sort of conscious effort of what you and the team are have been trying to build?
Scott Bok: I’d never say it’s a necessary conscious effort, but it certainly is a positive thing. I mean, we love to have from important clients buy side as well as sell side roles. It seems like we're getting more of sort of very attractive sell side roles with a probability of a positive outcome that’s really very high. So that’s a good thing, and I think it's probably just the sign of the franchise continuing to mature.
Operator: The next question we have comes from Devin Ryan of Sandler O'Neill.
Devin Ryan - Sandler O'Neill: Just given the comment in the release, that the timing of the deal closings will impact the full-year advisory revenues; that seems pretty obvious. But just without getting in to specifics has there been any significant deals where the closing dates have changed maybe where you’d originally expected within the last few months. I am just trying to understand kind of why that was put out there?
Scott Bok: I mean it was only put out there because, you are absolutely right it’s a completely obvious point. And as you started to talk about how one quarter looks versus how happy Europe looks, I mean clearly, you have to be cognizant of the fact that the closings do drive revenue. But I wouldn’t read anything more than what's literally written in the announcement. We're not hinting at something. We're not warning about something. Things are progressing as I said pretty much as we expected on our calls three months ago. We still, as I said, our outlook for the year is unchanged from what we said, but clearly, whatever final level we get to is going to determine by what [closes] last week of December and what [closes] first week of January.
Devin Ryan - Sandler O'Neill: Got it. Okay, just want to understand that. Once again this quarter, your advisor revenues appear to be much higher than what could be gather from, at least what's out there in the public domain, from the press reports, data sources, your website, everything kind of put together. So, I would just love to get anymore color, if you can provide it just on the mix of advisory revenues or just some of the drivers within advisory would be helpful.
Scott Bok: As we always do, I think in our full year press release, we’ll try to break things down in a little more granular detail and with real specific numbers. But I think in general, all I am going to say is, frankly, we’re just getting called upon for a much wider variety of types of assignments and, some are financing oriented and some are restructuring oriented and clearly fund placement as a business is growing for us and some are assignments for roles that I think I never would have thought we’d get involved in. So, again we’ll talk about government roles as well, so it’s a wide variety of things and it’s a real sign of the fact that the breadth of our business is growing along with the roster of senior partners we have and the trend towards using firms like ours.
Devin Ryan - Sandler O'Neill: Just lastly, you mentioned that Europe is starting to see some improvement, clearly coming from a depressed level. So, just wanted to get your thoughts essentially when you think about the potential for European advisory activity, do you see a scenario where there could be a pretty steep ramp back to maybe more normal levels or do you expect that M&A and advisory activity over there is going to be more of a slow recovery as their economies potentially struggle along?
Scott Bok: Obviously, this is a little bit in the realm of I guess, but I think when it comes, it could be fairly steep. I mean if you look at our US business look at the announcements we’ve made in the last few months. It’s about as good as three or four months string of announcement that we’ve probably had since the scene of 2007 or early 2008 for the US. I think, at the right time, I don’t know when that is, I don’t know if that’s tomorrow, if that’s six months or 12 months from now or longer, but I do think that, the cycle tend to sort of go that way where there is a degree of stability, people start wanting to take a little more risk strategically and suddenly you’ll find a bunch of things start happening.
Operator: The next question we have from Alex Blostein of Goldman Sachs
Alex Blostein - Goldman Sachs: I want to spend a minute on the advisory business. When you guys look at your activity versus the activity that some of your other peers both on the independent side but also in the bunch bracket. Clearly the number stand out, and I was just wondering, if you could spend a minute to talk about why you think that is whether not it’s the impact of some of the new hires you guys have made or particularly industry sectors and the protocols that you participate in maybe more actively, but it just feels like the disconnect has been pretty wide and I was hoping to get a little bit color on that?
Scott Bok: I think you are right that's our sense of sort of the disconnect between what we are doing or some others are doing right now as well particularly the big banks but probably some of the independent ones as well. I think it’s as simple as this. In 2008, ‘09, ‘10, we hired a huge number of people. I think on the day Bear Stearns was sold, we had something like 28 managing directors and now we have something like 70. So it’s a huge ramp up we had. And its not all of that many people here in the last few months, it’s a lot we hired sort of 1.5, 2.5, 3.5 years ago and those people have been here and been working with our clients on the Greenhill platform and with the Greenhill colleagues long enough that it just seems like their labors are starting to bear fruit. I don't think it’s any more complicated than that. It’s quite diverse, a lot of different sectors, number of different regional offices around the US. So if anything has to be in different places, clearly some place and starting to play the role. I think we have kind of collectively taught each other within the partnership that there is more than we can do to just M&A, and we find ourselves doing more financing related assignments. I think it’s just a proof of a lot of recruiting during the financial crisis.
Alex Blostein - Goldman Sachs: Got it, it's helpful. And then, I guess when you look at comp, and you guys have been pretty good keeping the overall numbers in check on the comp side, but assuming that this year plays out kind of Scott how you thought with flattish advisory revenues. You guys didn’t make some hires during the year. How should we think about I guess the total dollar comp from a dollar perspective on a full-year basis?
Scott Bok: I think you can look at what we’ve done for the three quarters and also what we did last year. It's a bit of a guide post. I mean if we, I mean we said that the non-comp costs are going to be very similar to last year. For example, the revenue turned out a lot to be like last year, wouldn't surprise me if the comps are not to be a lot like last year as well; notwithstanding some hires. We’ve not added huge amount of headcount as you can tell. So I think we’re kind of on a similar track to last year. If we end up a lot better than that on revenue, we might be a lower percentage of comp or we end up a bit worse, maybe it’s a little bit higher, but I think last year, and the first two quarters of this year was a pretty good guide post.
Operator: The next question we have comes from Brennan Hawken, UBS.
Brennan Hawken - UBS: Just a quick question following-up on Howard’s point on the deal environment; it’s interesting to hear about (inaudible) fiscal cliff; have you guys seen any meaningful change in buyer-seller attitude since the Central Bank actions were announced?
Scott Bok: I don't think anything I really could identify. Most of the transactions we work on are one-on-one public company doing something with another and yes financing plays a role, but not a lot of them are highly levered transactions. Of course, some of the things we do and some of the things that we have announced recently are more private equity oriented where we are selling private equity fund for example and clearly, that kind of deal is going to be helped by an easier financing environment. So I think probably there has been some impact, but, to me it’s just that a lot of companies have strategic desires or needs, whatever you want to call them and they’ve sort of have been reluctant to move for a long time and it seems like a lot of people are getting a little more courage to pursue that strategic opportunity right around now.
Brennan Hawken - UBS: And then, how about generally the hiring environment, as we approach year-end, is there any color that you could add on that, are you seeing any increased interest particularly given continued trouble around the (inaudible)?
Scott Bok: I would say that it really, it kind of, we switched back to a very positive recruiting environment and I would say may be in the spring of this year when I think bankers got the sense that this is going to be another very tough year at the big banks and I think now many have concluded it’s going to be a very tough, many years at the big banks. So it’s been improving I would say for recent months and not very long passes before another new very attractive recruit shows up on our doorstep and wants to talk, so we’ve got plenty of folks we’re talking to, as I said, we’re going to continue to be very selective, so it’s not like it’s going to be a mass hiring or something, but we’re really excited about the people who joined recently and we’re really excited about some of the people we’re still talking to.
Brennan Hawken - UBS: Okay, that’s great. And then last one from me, is there a minimum level of revenue growth given your current staffing levels and recent investments that you’ve made that is necessary for you guys to hit your comp ratio targets?
Scott Bok: Clearly, for us to get back to where we were for many years, which was well below 50% we need more than $1 million of revenue for employee which is kind of where we’ve been on average through the financial crisis and so that’s different from right now. I would like to think that with all the announcements we are seeing that better days lied head, and clearly it’s going to have to get somewhat better before we can go to south of the 50% number, but I don’t really double or something like that but clearly it needs to move in a positive direction, also we are seeing the beginning signs of that.
Operator: Next we have Joel Jeffrey of KBW. Please go ahead.
Joel Jeffrey - KBW: I kind of missed this earlier, but what was the exact reason that the fund placement business might have [yielded] more backend loaded towards the fourth quarter?
Scott Bok: You know I think this is a really simplistic outsider’s view. I played some role in that business and a lot of meetings. But a simplistic view would be that a lot of big institutions like pension funds sort of decide their allocations early in the year, and here are they guys who invest in private equity fund, you get a certain allocation for that year. I think they tend to look at a lot of things throughout the year. I think towards the end of the year they tend to sort of pull the trigger and sign commitments. That's a little simplistic but I think that really seems the track of what happens.
Joel Jeffrey - KBW: And I mean, just in term, and I know you guys closed a few of those deals this quarter, but is the sort of backend loaded similar to what we saw last year in terms of magnitude or is this even anything greater than that?
Scott Bok: Probably even a little better than that. The positive is, it does; well, the negative is it’s been a very tough environment of that business people for last few years. The positive is it does feel in the last few months like it is improving meaningfully, and you know some of that will play out, we think in the next few months and hopefully a lot of that place out next year as well, but it feels like kind of consistent with other markets, consistent with M&A market that institutions are more willing to make long term investment commitments.
Joel Jeffrey - KBW: In terms of where you are seeing strengths and weaknesses sort of geographically, and perhaps you talked a little bit about strength coming out of Japan. Are you guys still seeing that or is that sort of dried up at this point?
Scott Bok: No. There is a lot of interest. I mean it certainly seems some deals were not involved but the (inaudible) Bank deal is a great example of Japanese interest in the rest of the world and (inaudible) deal that we worked on between Japan and UK but another good example. We are so very active and very excited about that business. It's a relative small office. So I don’t mention it as much as I do say Australia where we got lots more people let alone Europe or U.S. But we're hopeful, but it's not an easy market, it probably won't be for a long time. There’s a lot of challenging cultural issues to getting a big cross border deals done out of there, but we're still quite positive, as I think many others are on the outlook for Japan M&A.
Joel Jeffrey - KBW: In terms of your Iridium shares, if you can give us the breakdown between what the realized gain and loss was on the sales that you made versus the marks on the portfolio that would be helpful?
Scott Bok: You know, I don’t have that off handle. We’ll be happy to get you that directly. I don't think it's terribly material how much fell under which [camp] we can get back to you, Joe.
Operator: And next we have Douglas Sipkin of Susquehanna.
Unidentified Analyst: Hi, this is [Justin]. I am calling in for Doug. Just one for you guys. Just one question for you guys. Just going back to comp, I know you guys already spoke about what you expect for 2012, but what do you think if you might be able to just give a little insight or outlook on what you expect for (inaudible) comp going in to 2013?
Scott Bok: That’s too early to stay. It really is, it's clearly driven in part by salaries and given the modest increase in headcount, I wouldn’t expect a dramatic change there and part of it is written by restrictive stock amortization and clearly that will be impacted by how much we pay people at the end of the year. So we’ll give an indication of that on fourth quarter call, but I really wouldn’t know how to give any guidance at this point.
Operator: And the next question we have comes from Michael Wong of Morningstar.
Michael Wong - Morningstar: Just a quick question on comp again. Considering your relatively strong backlog, will your 4Q comp ratio take into account your total backlog and related expected fees or just the revenue that is, you’ll book by the end of 2012?
Scott Bok: That’s a good question, it’s a subtle point that probably a lot of people don’t get. Now, when we repay for, based on results, we’re not, if you have the concern we’re going to sort of pay to these people a lot of money for deals that are going to close in the first and second quarter, I wouldn’t be concerned about that. We’re more focused on aligning actual compensation with actual revenue.
Operator: It appears that we have no further questions at this time. We will go ahead and conclude our question-and answer session. I would now like to turn the conference call back over to management for any closing remarks, gentlemen.
Scott Bok: Okay. All we have to say is thank you all for joining. And we’ll speak to you again in a few months. Good bye.